Operator: Greetings, and welcome to the Orion Engineered Carbons Conference Call to Discuss Fourth Quarter 2016 Results. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Diana Downey. Please go ahead.
Diana Downey: Thank you, Operator. Good morning, everyone and welcome to Orion Engineered Carbons conference call to discuss fourth quarter 2016 financial results. I’m Diana Downey, Vice President-Finance and Investor Relations. With us today are Jack Clem, Chief Executive Officer, and Charles Herlinger, Chief Financial Officer. We issued our earnings press release after the market closed yesterday, and have posted an accompanying slide presentation to the Investor Relations portion of our website. We will be referencing this presentation during this call. Before we begin, I'll remind you that some of the comments made on today's call, including our financial guidance, are forward-looking statements. These statements are subject to the risk and uncertainties as described in the Company's filings with the SEC. Actual results may differ materially from those described during the call. In addition, all forward-looking statements are made as of today, February 24, 2017, and the Company does not undertake to update any forward-looking statements based on new circumstances or revised expectations. Also, non-IFRS financial measures discussed during this call are reconciled to the most directly comparable IFRS measures in the table attached to our press release. I will now turn the call over to Jack Clem.
Jack Clem: Thank you, Diana. Good morning and thank you for joining us today for our fourth quarter 2016 earnings conference call. Our agenda today is shown on Slide 3. I'll provide highlights from the fourth quarter of this year and comments on the performance of our two Carbon Black business segments during 2016. I'll then turn the call over to Charles Herlinger, who will provide more detail on our financial results and discuss our outlook for 2017. After Charles is finished, I will review the progress we have made on major operational initiatives which support our strategy. And then open the lines to take your questions. Starting with our fourth quarter highlights on Slide 4, I'm delighted to report that we’ve delivered another solid quarter of growth in volumes and in profits. This was our strongest fourth quarter ever and helped us finish up a great year. We grew total volumes by 6.5% in the quarter, both segments contributed to volume gains at rates above our view of market growth. Our adjusted EBITDA of €55.6 million for the quarter, allowed us to come in at the high end of the full year guidance we provided during our third quarter conference call. This was a 9.4% increase in adjusted EBITDA versus the prior year quarter, supported by double-digit gain in Rubber Carbon Blacks. Net income in the fourth quarter was a record €18.6 million, resulting in €0.31 per share. Improved Rubber margins, the consistently strong performance of Specialty and a rise in the price of oil all contributed to a good finish to the year. Slide 5 provides details on the volume and adjusted EBITDA of each business, our regional production coverage and key profitability trends. Our Specialty Carbon Black business accounted for 55% of total adjusted EBITDA in the quarter and about 21% of our total volume. The volume split is consistent with the previous quarters of this year, while the adjusted EBITDA split reflects a strengthening Rubber business. A percentage of technical rubber grade products continues to climb, reaching 34% in the fourth quarter of 2016. We are pleased to see the recovery of Rubber Blacks reflected in the rise in EBITDA margin. The tick downward in Specialty reflects on targeted regional mix impacts such as increased volumes from OECQ and the impact of increased feedstock prices on some of the business. Finally, please note on our above-market volume growth in China and Brazil as we move to better balance our global sales mix. Turning to Slide 6, our Specialty Carbon Black business continue to produce outstanding performance underscored by strong volume growth with particularly strong December. We finished the full year with growth in all major regions and with a nice contribution from OECQ as it begins contributing to our Specialty mix. Volumes gained 10% or 5,400 tons versus this quarter last year. We saw strong demands in all regions with U.S. being especially strong. Specialty revenue increased 5% to €96.1 million versus €91.5 million in the prior year’s quarter. Gross profit was 3.2% to €39.9 million while gross profit per ton fell 6.1% to €671 as volume growth partially offset some margin pressure resulting from higher oil prices, some windfall of timing pressures, and the mix effect from the increased contribution of volume from OECQ. Adjusted EBITDA rose 6.7% to €30.3 million for Specialty, while adjusted EBITDA margin rose 40 basis points from the prior year to 31.5%. Slide 7 shows the gains made by Rubber Carbon Black business. Rubber Black volumes grew 5.6% to 221,000 tons in the fourth quarter with the largest gain occurring in China. OECQ contributed a full quarter of volume versus the 2015 fourth quarter. And demand for the products was strong as we stepped up our marketing activities during the second half of the year. OECQ’s volumes increased nearly 30% versus the third quarter of 2016 due to these increased efforts and a strong Chinese auto build. Our plant is now running close to full capacity. Tightening Chinese environmental regulations are putting pressure on many weaker producers. We understand that there have been some capacity closures due to these pressures, and although their markets are not necessarily the same as with our premium rubber grades, the overall tighter market is a positive for our business. We operate within already inventory requirements but unlike some producers, we have initiated projects to meet the stricter standards that the Chinese government will mandate by the end of this year. European Rubber volumes remain strong in the quarter. We closed our French facility at year-end in accordance with the plans for the facility. This closure along with others in Europe, resulted in tighter capacity and a better pricing environment for the 2017 contracts. Demand in Korea and South America both grew year-over-year and sequentially this past quarter. The U.S. market began the quarter slow, but gained momentum at the end of the year. This strength has continued into 2017 as the replacement tire market appears to be gaining some ground relative to the weak performance seen earlier in 2016. Gross profit increased 18.4% or €7.3 million to €47.1 million due to the positive impacts on volume and margin growth, a reduction in depreciation expense and a full quarter of business at OECQ. While feedstock differentials persist in Europe, we saw some moderation of these in the U.S. Adjusted EBITDA in the Rubber Carbon Black business increased 12.9% or €2.9 million this quarter and the adjusted EBITDA margin increased 80 basis points to 14.1%. I will now turn the call over to Charles for more detail on our performance.
Charles Herlinger: Thanks, Jack. Good morning, everyone. Turning to Slide 8, and our consolidated fourth quarter results, our volumes increased by 6.5%, or 17.1000 metric tons from the prior year to 280.6000 tons. Q4 2016 includes a full quarter for OECQ compared to just two months in Q4 of 2015, the quarter in which OECQ was acquired. Revenue growth was in line with volume growth, with revenue increasing 16.1% to €276.3 million in the quarter, compared to €260.4 million last year. Our contribution margin improved overall at a similar pace to volume, rising 6.8% to €117.7 million versus €110.2 million in the prior year’s period, driven this quarter by our Rubber Black business. As the top waterfall chart on right-hand side of the slide shows, the improvement in contribution margin was driven by volume, a positive rubber related price impact of €2.9 million, as well as positive currency impact of €1.4 million. Referring to the second waterfall chart on the right hand side, the €7.5 million contribution margin improvement, we realized in the quarter was a primary driver of adjusted EBITDA growth. Partially offset by fixed cost increases related to OECQ and to currency fluctuations. Adjusted EBITDA as a result grew by 9.4% to €55.6 million. Our adjusted EBITDA margin of 20.1% EBITDA represented an increase of 60 basis points above last year’s fourth quarter. The last waterfall chart on the right-hand side of the slide, which analyzes net income development, shows a large increase compared to a year ago, driven by the adjusted EBITDA gain of €4.8 million and reduced finance costs, as a result of both debt repayment and the repricing of our debt during 2016. Lower depreciation expense and a reduction in other income and expenses also favorably impacted net income development. The reduction in other income and expenses related to a Sarbanes-Oxley first time implementation expenses and OECQ post-acquisition related costs, which negatively impacted the fourth quarter 2015 but did not reoccur in 2016. Now turning to Slide 9, which shows our full year cash flow dynamics and our key balance sheet metrics as of the year-end. For all of 2016 we generated €199.1 million from operations. Our uses of cash over the same period, which includes capital expenditures, interest payments, required debt repayments and dividends totaled €147.1 million leaving us available free cash flow of €52 million. With this free cash, we voluntarily repaid debt of €14 million and repurchased approximately 300,000 shares of our stock in 2016 through our buyback program, which is now expired. Not shown on this chart is a further repayment of debt of another €20 million in January of 2017. Turning to our balance sheet, net working capital totaled €181.9 million as of December 31, 2016 essentially flat compared to €183 million as of December 31, 2015. Net working capital days at the end of the fourth quarter were 63 days. As of December 31, 2016, the Company had cash and cash equivalents of €73.9 million compared to €65.3 million on December 31, 2015. The Company's non-current indebtedness as of the year-end, was €613.5 million, with net debt at €556.7 million, which represents a reduction in leverage to 2.5 times LTM adjusted EBITDA multiple. We steadily reduced this leverage ratio in 2016, as we’ve done every year since we went public. And our goal remains to reduce it further towards two times levered over the next year or so through a combination of adjusted EBITDA growth and deleveraging. As a reminder, the total debt chart on the bottom right hand corner of this slide illustrates that some of our debt is denominated in U.S. dollars, but reported in Euros, and that’s gets revalued at every quarter as these currencies fluctuate. A clear example of this as you can see on the chart occurred in the fourth quarter as a stronger U.S. dollar versus the Euro impacted our U.S. dollar denominated debt. Moving to Slide 10, which presents our full year guidance and further cash flow detail, we are providing our full year guidance for 2017 adjusted EBITDA between €220 million and €240 million. This is based on the assumptions that volume growth will be in line with current GDP expectations, and that oil prices, exchange rates and feedstock impacts will be at the levels seen during the fourth quarter of 2016. For base capital expenditures, our guidance is consistent with the past of approximately €60 million, but with a total rising to over €80 million due to self financing capital expenditures associated with the consolidation of our plants in Korea. Please bear in mind, we expect that the cash proceeds derived from the sale of our plant site in Seoul, Korea were more than offset all capital expenditures and other costs associated with this consolidation project. We expect depreciation cost of €60 million, and for amortization, €20 million in 2017. Our tax rate expectation on pretax income is a rate of 35%. Moving to the right side of the Slide 10, and our analysis of our annual cash requirements. You will see that our base business cash requirements remain around the level we last reported. To the extent we continue to repay debt as we just did in January and that’s reduced our future interest payments, we will bring out this full year requirement lower, further underlying our ability to maintain our capital allocation priorities of supporting dividend payments, investing in optimization CapEx, and continuing to deleverage. I will now turn the call back to Jack, who will comment on our operational priorities and year-to-date actions, and wrap things up before we head to Q&A.
Jack Clem: Thank you, Charles. On our fourth quarter 2015 conference call held about a year ago. We laid out a series of 2016 operational priorities along with the list of actions that we would take in response to cost impacts that resulted from dislocation in the feedstock markets. And what was shaping up to be a relatively low growth market environment. We finished the year with figures that demonstrated that our team executed well on these actions. We achieved record results on a number of key financial and operating metrics despite a relatively challenging oil price environment, and global economies that were not particularly robust. Credit goes to the strong commercial and production teams we have put in place around the world. As we move into 2017, we are already addressing similar operational priorities to continue our profitable growth trajectory. We will grow and optimize our global footprint further strengthening our regional platforms around the world with moves to increase the supply of high-value-add Rubber and Specialty Carbon Blacks. You’ve heard us speak of the consolidation of the Korean footprint, in this regard, this project moves ahead on schedule and will result in an even stronger Korean production facility while strengthening our Asia-Pacific product mix. While many of our efforts in 2016 were geared toward mitigating the impact of dislocations in the oil market, a somewhat improved and stable energy market in 2017, will afford us greater flexibility to expand our feedstock sourcing and generate higher income via cogeneration. A longer term example of these activities is the recent move we announced to expand our supply of energy to the district heating network adjacent to our plant in Cologne. This partnership provides a city with a stable supply of heat while improving the sustainability of this flagship plant of Orion. It is simply one example of the many ideas that we generate to continue improving our business. In closing, I’d like to emphasize that we are confident in our ability to profitability grow our volumes in both of our business segments. We remain focused on improving our mix of higher margin products and we will continue to drive production efficiencies. Our Specialty Carbon Black business continues to be a steady engine of profitable growth as we build on the success of that business. Our Rubber Carbon Black business enters 2017 facing a better market environment than we saw a year ago with more stable energy markets and strengthening global tire demand. I believe we have the right team and strategy in place for continued success in the coming years. In closing, we wish to thank our investors for their confidence in Orion, and our customers for their business and our employees for their hard work. With that, Operator, please open up the line for questions.
Operator: Thank you. At this time, we will be conducting the question-and-answer session [Operator instructions] Thank you. Our first question comes from the line of Mike Leithead with Barclays. Please proceed with your question.
Mike Leithead: Hey, guys. Thanks for taking my question. Congrats on the quarter.
Jack Clem: Good morning.
Mike Leithead: Just start off on the guide, it seems like volume growth should remain solid this year. You are getting mix benefits and pricing into 2016 higher than most of the year. So just trying to understand how you would potentially get to the bottom end of that EBITDA range of, I guess, down 1%. What are some of the offsets we should consider heading into 2017?
Charles Herlinger: Yes, Hi, Mike, it’s Charles. Yes, you’re obviously right. It was a very good year, 2016. And we think it's a very good springboard for our further progression in 2017, I'll make that clear up front. I think we are really guiding with a range that is consistent, including where it starts, with what we did last year I mean we haven’t forgotten the lessons learned in terms of delivering guidance. But just in terms of broad numbers, you take where we are for 2016, you factor in the fact that we expect through the growth that you just mentioned in specialty and rubber – these round numbers now – about €10 million of EBITDA through the regular development of the business. We're going to have the benefit of Ambès, the French plant, fixed costs being out of the system, as we said, for the whole year starting in 2017, and we're going to get some improvement on efficiencies and so on and so forth, which is going to get us to the top of the guidance. And a bit beyond, potentially. Against that, Mike, as we mentioned during 2016, we've got some feedstock cost increases in Asia, variety of reasons and that will serve to pull that projection, as it were, down towards the middle range of the guidance. But as I said, it's a combination of that. We like to start broad; we narrow the guidance as the year progresses, as we have shown, for example, in 2016. And we look very confidently into the development of the business in the coming year.
Mike Leithead: Makes sense. And then just on volume growth, for 2016, pretty strong, even backing out the QECC benefit. So just two things. One, can you elaborate a bit more on just what drove this above-GDP performance? And the other thing, why shouldn't that repeat itself here entering 2017?
Jack Clem: Are you speaking here of Rubber or Specialty or both?
Mike Leithead: Just all-in, yes.
Jack Clem: Specialty growth, it’s been very strong through the year. We have tracked that nicely. Quarter after quarter, we outstripped really GDP growth around the world. And I think we've gone into a lot of the details about the different sales offices that we've opened up, some of the new products that we have put out there, some of the substitute products that we are beginning to push out. And we have every confidence that we're going to continue to do that. In fact, yesterday, we actually announced the expansion of one of our facilities in Sweden in order to support that particular growth that we have seen. Whether we will actually grow at the 10% in 2017, I think that’s what we did in 2016 I think although we would be more comfortable in thinking that we would come back to that level of GDP plus plus, which is historically what we've grown at in the past. So I've got every confidence we will be able to do that. That facility in China converting more and more at this point in time to Specialty products we finding the markets over there that are being fed by some inferior products that we can replace. But we are confident about that. We're making moves in Korea to supply more products to the Asia-Pacific market, but overall, that specialty business just continues to build on the success of the past. The rubber business growth, it is largely GDP outside of China. The China growth is the primary growth driver for the rubber business. So I would think that we would see the continued growth of that facility. We are running near capacity at this point in China, so I think what we will see is we'll continue to feel this what appears to be some resurgence in the replacement tire market in the U.S. We have already seen that in Europe, which is part of the growth that we saw in Europe last year. So we're confident at this point that we will continue to grow that Rubber business, GDP or so as we going forward and fill out that Chinese facility.
Mike Leithead: Great, thanks guys.
Jack Clem: Okay.
Operator: Our next question is from the line of Kevin Hocevar with Northcoast. Please proceed with your question.
Kevin Hocevar: Hey, good morning everybody. Wondering if you can comment on the rubber side of the business. How did the contract negotiations end up for 2017? And maybe it sounded like Europe pricing might be favorable. But wondering if you can walk us around the world and how – on the net impact all in, how did – will pricing be up as a result of those? And also how did the negotiations in terms of volume shake out? Will your market share be about the same or any different as a result of these contract negotiations?
Jack Clem: We closed that French facility, so clearly there will be a decline in the volume there. We were able to move quite a bit of the materials that we wish to keep into the other parts of our production network. So overall, the loss in volume there will be more than offset by some of the traction that we gained in pricing during those contract negotiations going into 2017. And we were – as I said, we were able to hold onto quite a bit of the material and debottleneck few places here and there. So overall we are pretty positive about the situation in Europe, the U.S. was not as easy. I think we signaled at the end of last year in the fourth quarter – third-quarter discussion that there is some more lower utilization in the U.S. right now. So we worked our way through that. So we are satisfied with what we have ended up there. We're not going to go into the different levels of volumes for the regions, but I would say overall we came out about where we expected to in the U.S. with respect to volume and pricing. Korea clips along pretty much as it has in the past. We are satisfied with Korea and what is occurring in those markets. Brazil, interestingly enough, has been very strong. We were able to get some price traction down in Brazil as well, and that plan is running also like the plant in China: at a fairly high level of utilization. So overall, we will see a move up in volume and we will see overall some increase in overall price as we move into 2017 globally.
Kevin Hocevar: Okay, great. And then in rubber – sticking with rubber, the EBITDA per ton has moved up quite a bit the last couple quarters. And I think maybe the surcharge in Europe had some that do with that. But it was at €83 a ton in the second quarter and you are at €114 a ton here in the fourth quarter. So as we look into 2017, do you – is that a fair way to think about it, that €114 per ton? Maybe you can even move up because of the savings from the plant closer in Europe or maybe anniversarying some of those pricing actions throughout the year or – I guess how should we think of the progression of your EBITDA per ton in the rubber segment in 2017?
Jack Clem: We did get some – we got the uplift from those feedstock surcharges in Europe and we will see a full year effect of that. We are pleased with that and there's no reason to believe that that is not going to do anything but continue. And I think we've said in the past that higher oil prices tends to address some of the dislocations that we see in the oil market and provides a bit more power to our cogeneration revenue for this business. So I think we will be able to see some improvements as we go into 2017 as a result of that. Charles, do you have any some efficient comment?
Charles Herlinger: No, I think that’s something, I think it’s good.
Kevin Hocevar: And then last question. In terms of – what type of impact do you expect FX to have, given you guys report in Euros? Do you expect this to be a tailwind in 2017? And just wondering if you can size up what, if any, FX impact you would expect in 2017?
Charles Herlinger: I'm not going to give you the glib answer. I don't know where the dollar is going versus the euro and whatever else. But maybe more constructively, you know that – we have mentioned before that a 5% change in the basket of our currencies and the euro dollar is an important one, as indeed the Korean won is because of our manufacturing there as well. That has an impact on our EBITDA up or down when they all move in the same direction of about €7 million, maybe a touch less depending on relative profitability. And most of that, Kevin, is translation-related, not transaction-related, because we make sure the transactions we get into – what we sell and the oil we buy, for example, that we will match that. So most of that is meeting of the €7 million or so – a bit less – €5 million plus certainly is translation. I.e. taking a dollar financial statement putting into euros. Now, we did – having said all that, we did see that the dollar strengthened towards the end of last year. And that – if it stays at that level, that will give us a little bit of a tailwind, Kevin, as we move into 2017. But it within that context, it won't be that significant. Again, I don't want to sound glib, but obviously we don't know where currencies are going, but at least you've got the metrics to see the effect on us when and if the currencies do move.
Kevin Hocevar: Sure, okay. Thank you very much.
Operator: Thank you. [Operator Instructions] The next question is from the line of John Roberts with UBS. Please proceed with your question.
John Roberts: Good morning, guys. Nice quarter.
Charles Herlinger: Thank you.
Jack Clem: Thanks, John.
John Roberts: Have the feedstock basis dislocations declined a lot? Or actually, has just your ability to manage that – your surcharges and so forth – just, again, you've got it in control now so that we don't see it in the financials.
Charles Herlinger: It’s a little bit of both. The surcharges that we put in Europe worked well against the dislocations that we saw in Europe. And those, by the way, are still there. So the European ones are still pretty accurate. We've seen some relaxation and we just have sort the dislocations in the United States and a few other places around the world. But for the most part, I'd say we manage the ones that are with us currently, and those are the ones in Europe. And we've seen some relaxation elsewhere around the world.
John Roberts: And then secondly, are there technical limits to how much rubber black capacity can be shifted to specialty blacks over time? Or should we think of that as evergreen, and as long as specialty black growth remains well above rubber blacks, you can continue to grow specialty without putting much capital into that business?
Jack Clem: I think that’s a fair statement. Obviously, there are limits when you get to a point where there's just equipment that is not practical to convert and it's probably a smarter idea at that point to add capacity, which as you know, we have done that in the past. But we have done an internal assessment to see which units we think can actually make the conversion over and there's sufficient capacity there for quite a long runway, John.
John Roberts: Okay. Thank you. I will get back in the queue.
Jack Clem: Thanks.
Operator: [Operator Instructions] Jeff Zekauskas with JPMorgan. Please proceed with your question.
Jeff Zekauskas: Hi, good morning.
Jack Clem: Hi, Jeff.
Jeff Zekauskas: Can you describe the €6.1 million in finance income that you booked in the quarter? And I think there was also a €4.26 million in other operating income. Why was that?
Charles Herlinger: The finance income, Jeff is just in some on balance – we hedge on balance sheet receivables and payables in foreign currency. And we – those effects come from that. They're balanced out by opposite and canceling effects in the expense line. So then on a net basis, you'll see that our – pretty much that our finance expense for the quarter, or indeed for the year, is really our interest costs excuse me. And also we pay a small fee on our RCF. So those – that's what those effects are.
Jeff Zekauskas: And what about the €4.26 million in other income? Other operating income?
Charles Herlinger: Yes, the €4.26 million is a combination of factors. One, for example, we had built an accrual at the end of last year related to some liabilities for – or some risks we saw in receivables that we managed to collect. That was not quite half of that. And then there were some other small items.
Jeff Zekauskas: What is your CapEx for 2017?
Charles Herlinger: Our base CapEx, Jeff, is €60 million, give or take a bit. And then as I mentioned when I was just going through the introduction, the slides, the – we have got the project in Korea. And that is – we regard that as – I use the term self-financing because what's going to happen there is, as we described, we're going to – we are in the process of consolidating the plants. We went – sell the land in Korea and then self-finance that project and more, in fact. And that – so the €60 million is the base. And on top of that, Jeff, I expect – we expect that we will have maybe €20 million or so of CapEx spend financed through the sale of the land, as I mentioned, in this year. Now I should point out, the sale of the land will not most probably take place this year because it is probably more sensible for us to obviously do that when the project is finished and we maybe look at some rezoning and that sort of stuff. But also, if we wish, and we have explored that already, we can leverage the – take some borrowings out against the land locally. Just secure it in that land, if we wish to, to bridge the period between the incurrence of this consolidation CapEx and then the financing of it through the sale of the land. That's a flexibility – an option that we have if we want to take advantage of it.
Jeff Zekauskas: Were your rubber carbon black volumes in the quarter in any way unusual? That is, were they seasonally strong or is this a normal quarter of volume, given your – given the capacity that you have now?
Jack Clem: Jeff, typically fourth quarter can be a little bit odd. I struggle to find what I would consider a typical fourth quarter, especially in the rubber black business, because sometimes customers do certain things at the end of the year which can make a dramatic impact one way or the other. I can’t say that it was – I can't point to any one thing, other than the fact that the Chinese facility came on really strong in the fourth quarter. And we didn't see what I would consider the typical slowdown in Europe or really in the United States as we came into December. So just thinking back on it, I can't think of anything that I would consider particularly unusual, other than the fact that for the first couple of quarters, the Chinese facility was not quite as strong. In the second half of the year, it really began to pick up steam.
Jeff Zekauskas: Where do you stand with your negotiations with the EPA?
Charles Herlinger: Continue as before. We have disclosed a lot of information on that. I can say that we've had constructive discussions with them towards some sort of settlement. We have been back and forth quite some time now. But I can't really get into the detail, Jeff. But there's nothing that I would say that has occurred within the last couple of months that would be any different than what you have been – what we have signaled in the past with respect to the approach there with the EPA.
Jeff Zekauskas: Okay. Great, thank you so much.
Operator: [Operator Instructions] The next question is a follow-up from the line of John Roberts of UBS. Please proceed with your question.
John Roberts: Now that debt to capital should be approaching 2 times this year, should we think about the dividend being really the only use of free cash flow? And kind of related to that, now that the stock has recovered, have your private equity holders said anything about increasing the liquidity in the stock?
Charles Herlinger: Let me just talk about leverage, and maybe Jack can field the second point, John. You're right, we do expect to move towards 2 times leverage if not in this year, shortly thereafter through a combination of adjusted EBITDA growth and deleveraging. We do – we don't see that as necessarily the end of the development of our leverage position, as you well know. If you look at – which we do, at the U.S. Chemical Index, there is still some sense for us to move our leverage more towards that average, perhaps. So that's where our focus is. I should point out, as I mentioned, although it's temporary, we have the consolidation in Korea this year. So that is going to be something we will keep our eyes on in terms of the use of our cash. As we say, this is very much optimizing CapEx for us in this year. And then when we get through that, we will see about what our capital allocation plan should be. But at the moment, it's steady as you go and consistent with what we've said before.
Jack Clem: Yes, John. With respect to the second question that you asked, we – in a period of time when our stock was undervalued, of course it was totally out of the question. The stock just didn't reflect the intrinsic value of the business at all. The stock price has recovered, but we still think that there is sufficient headroom for further improvement, just given the fact that this was a strong business. It is working off of a nice, strong foundation. Our expectations are strong. I think you can hear that in our – in the tone of our voice and in the information that we provided that we think there is sufficient headroom to go forward. Clearly in the past, it was not even a consideration, but private equity shareholders are always going to be interested in looking for ways to increase their value. So I would just leave it by saying that it's more likely now certainly than it was when the stock was sub-IPO price.
John Roberts: Okay. And then I have a hypothetical question about the potential for border tax adjustments. I think there's a lot more global trade in feedstocks than there is global trade in carbon blacks, so I would assume in the U.S., you may import feedstocks into the U.S., but you probably don't export a lot of carbon black out of the U.S. I don't know if that's a correct characterization, but maybe you could comment on that.
Jack Clem: We don't import any feedstocks into United States. We export quite a bit of feedstock. We don't; the feedstock suppliers export quite a bit of feedstock out of the United States to both Europe and Asia-Pacific. But we import none.
John Roberts: Okay. And so the U.S. kind of is a self-sufficient market: feedstock's here and product stays here essentially as well?
Jack Clem: Yes. The only exception is product themselves. We have specialty products which are shipped out of the United States to Asia-Pacific and some to Europe. So cross-border trade is primarily more of an issue associated with the specialty business. We import quite a bit of specialty into United States from our facilities both in Korea and in Germany. So you've got Germany to the U.S., Korea to the U.S., and U.S. both to Asia-Pacific and Europe in specialty products.
John Roberts: Okay. Thank you.
Operator: [Operator Instructions] Thank you. There are no additional questions at this time, I would like to turn the floor back to management for closing remarks.
Jack Clem: Yes, well, thanks, everybody, for joining us today. I think you can tell by the good finish that we had in 2016 that we've built a foundation for 2016. We are confident about it. We've got good teams in place, good strategies in place, and certainly a nice platform to move forward. So confident about the year. Thank you for your time and appreciate the attention you have given us this morning. Thank you very much.
Charles Herlinger: Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at lines at this time. Thank you for your participation.